Operator: Good afternoon, and welcome to the MGM Resorts International First Quarter 2023 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer and Treasurer; Hubert Wang, President and Chief Operating Officer of MGM China; and Andrew Chapman, Director of Investor Relations. [Operator Instructions] Please note, this conference is being recorded. 
 Now I would like to turn the call over to Andrew Chapman. Please go ahead. 
Andrew Chapman: Good afternoon, and welcome to the MGM Resorts International First Quarter 2023 Earnings Call. This call is being broadcast live on the internet at investors.mgmresorts.com. We've also furnished our press release on Form 8-K to the SEC. 
 On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. 
 During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find a reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. 
 I will now turn it over to Bill Hornbuckle. 
William Hornbuckle: Thank you, Andrew, and good afternoon, and thank all of you for joining us today. I'd like to start by highlighting the recent news with the Japanese central government officially certified our area development plan in Osaka, which is a recognition of our perseverance and the great partnership that we have forged after more than a dozen years. This is one of the final steps that paves the way for us to begin our development process in Osaka to create what will likely be the first integrated resort in Japan. I'd like to thank the government of Japan, the City of Osaka, our local partner, Orix, and Ed Bowers and the development team and the many MGM employees who helped make this reality. It's truly an higher, and we look forward to getting started on this major development to increase our global reach and fulfill our strategy to increase our geographic diversification.
 Turning to results. MGM Resorts has posted just an outstanding quarter of financial performance to start 2023 driven by another record Las Vegas quarter and significant recovery at our MGM China. MGM China is experiencing a rapid recovery following the lift of public health policy restrictions. Our first quarter outperformance in Macau is a direct result of the meticulous preparation and well-executed plan put together by our team in MGM China who ensured that we are ready to capture market share and drive results upon reopening. 
 I'll point to a few KPIs to reflect our impressive start to the year in Macau. In the first quarter, our MGM China properties generated adjusted property EBITDAR of $169 million or 88% of our first quarter 2019 adjusted property EBITDAR. Our market share was 15% during the quarter, and we are confident in our ability to sustain share as we put in place key structural advantages, including: one, we gained an additional 200 tables as part of the concession renewal process. This represents a 33% increase in the tables for MGM in a market with fixed table allocations. Currently, our half of our incremental tables are fully in use and the remaining will be added as demand returns and we complete further refurbishments on the casino floors. 
 We also enhanced our property and remodels on the casino floors at both MGM Macau and MGM Cotai to focus on mass and premium mass along with adding 57 high-end villa suites at our Cotai property. In addition, we also have the advantage of our global sales international branch marketing network. We are actively leveraging our customer database to bring global customers to our properties. 
 While we recognize that additional hotel supply will enter the market, these drivers, along with a deep customer understanding from our property leadership, I believe, will allow MGM China to maintain its share in the teens. I'd also like to thank the Macau SAR government for their partnership, and we look forward to working alongside them as we support Macau's positioning as a world center for tourism and leisure. 
 Moving stateside, we have once again achieved exceptional results in Las Vegas with a record-breaking first quarter. This marks our seventh consecutive quarter of record EBITDAR, and we owe it all to the hard work and dedication of our thousands of employees. This quarter's Strip performance was fueled by fantastic calendar sports events, including, for the first time, hosting Sweet 16 and March Madness and other entertainment and convention events at our properties and throughout the city. 
 The quality and consistency of entertainment and sports programming at MGM Resorts and throughout Las Vegas has been a catalyst for the permanent transformation and strength and demand of our offerings. This is no better example than Formula 1, which, as you know, will come to Las Vegas for the first time this November. 
 Additionally, we are laser-focused on continuing to invest in our properties with a handful of the capital and projects on the Strip. At Bellagio, we are completing a 3-year remodel of all rooms and suites with our Spa Tower. This is in addition to enhancing our high-end gaming offering with a newly remodeled Club Privé for high-end table games customers and our Baccarat Lounge just reopened after a full renovation. We have begun construction of a pedestrian bridge to connect The Cosmopolitan of Las Vegas with Bellagio and Vdara. We are undergoing a full upgrade of our Mandalay Bay Convention Center along with numerous restaurants, bars, entertainment outlets and significant roomy models at New York-New York, MGM and The Water Club at Borgata. By the way, it will soon carry the MGM flag alongside Borgata's brand. These initiatives will be drivers of our customer loyalty and spend and ultimately, future free cash flow. 
 Under our regional portfolio, it showed consistent year-over-year top line growth with stable profitability. I'd like to specifically recognize the Beau Rivage team and congratulate them for executing well on a beautiful room remodel, which was completed in 2022 and is seeing a very strong customer response. 
 Turning now to BetMGM. In the first quarter, we expanded our footprint by launching in Ohio and Massachusetts, bringing our total active markets to 26. Based on results thus far, BetMGM remains on track to hit fiscal '23 revenue guidance of $1.8 billion to $2 billion. BetMGM is also continuing to make progress towards profitability later this year, all while continuing to expand and improve its product offering with our joint venture partner, Entain. 
 As we look at this business, we are encouraged by the improving economics that will translate into long-term profitability. As a reminder, as states mature and we focus on growing our NGR, optimizing retention bonus-ing and focusing on most profitable players, overall CPAs will decrease and the conversion from GGR to NGR will increase ultimately driving profitability. 
 Internationally, we announced today that the first major investment by our subsidiary, LeoVegas, with LeoVegas entering in an agreement to acquire the majority of the game developer Push Gaming. Push is a proprietary content provider that will allow LeoVegas to grow its library of games as they extend their digital gaming presence to new markets. Push offers several industry-leading games to over 200 operators globally. 
 On the development front, we are working through the RFA process in New York. We plan to submit our official application in the summer and hope to receive a response by the first half of next year. We continue to expect total spend in New York to be approximately $2 billion, inclusive of the licensing fee. And should we win a license in New York, our plan is for extensive property improvements such as a new 5,000-seat theater, new food and beverage outlets, covered parking and an increase overall to the casino floor space. We will share more specifics as part of our submission process continues. 
 Now back to Japan. As we progress, we see great opportunity. Osaka has approximately 30 million people within a 3-hour transit time of our site in Yumeshima. Our site in Osaka is also expected to drive international tourism in Japan given its proximity to other major Asian countries. And I will remind all that Osaka is closer to many Northern Chinese cities than any other gaming market. Considering that, we will likely be our integrated resource offering for -- the first integrated resort offering for some time in Japan. We believe this project will generate a minimum to high-teens free cash flow yield. 
 Putting it all together, MGM Resorts offers steady earnings power through our existing operations and world-class brands, plus significant growth opportunity through our digital business, the recovery in Macau and our development opportunities. Our balance sheet boasts impressive strengths with $4.5 billion of cash, excluding MGM China, as shown in the presentation. 
 Now to Jonathan for more detail on the quarter. 
Jonathan Halkyard: Thanks, Bill. And I too want to at our employees for delivering another record quarter of financial results. I'd also like to recognize and thank our teams in both Japan and Macau for their outstanding wins this quarter. 
 Digging into the numbers, our consolidated businesses generated revenues of $3.9 billion this quarter, up 36% from last year, and adjusted EBITDAR of $1.1 billion. 
 An even more impressive story was our free cash flow. During the quarter, net cash from operating activities was $704 million. Less capital expenditures, free cash flow was $564 million. It's important to note that $184 million in cash flow from operating activities and $6 million of CapEx related to MGM China in the quarter. This was a particularly strong quarter in free cash flow due not only to our operating results but also timing of taxes, interest payments and ramping of CapEx. 
 Our operating results certainly benefited from a recovery of MGM China as Macau reopened and our team executed on their reopening plan. Gross gaming revenue or win at MGM China ramped to 78% of 2019 in the first quarter or $663 million compared to less than 50% market-wide GGR recovery. This increase was driven by our main floor GGR, which exceeded 2019 levels in the first quarter. Adjusted property EBITDAR was $169 million, 88% of 2019 first quarter levels, and margin was 27% compared to 26% in 2019. 
 Here in Las Vegas, margins of 38% remained in line with our performance for the last several quarters. On a year-over-year basis, our revenues grew $513 million and our adjusted property EBITDAR grew $242 million, representing a flow-through of 47%. These results are a testament to the market leadership of our properties, our pricing strategy and expense controls. 
 First quarter occupancy was 92% and ADR was $258, an increase of 31% year-over-year. Looking forward, our pace, which reflects on the books rooms, is up year-over-year for every month from now until November. 
 Food and beverage is also worth highlighting this quarter as it benefited from the 14 percentage point increase in occupancy and a 38% increase in restaurant covers. Food and beverage revenues were up 52% and banquet spend, which is one of our highest margin businesses, grew 84% due to the recovery in our group segment versus a year ago. In the regionals, first quarter same-store revenues, that excludes Gold Strike, grew 10% with adjusted property EBITDAR up 6% year-over-year. 
 BetMGM generated net gaming revenues from operations of $476 million in the first quarter representing a 76% increase over 2022. BetMGM's market share was 28% in iGaming and, when blended with online sports betting, had 17% market share in the U.S. across states in which it operates. Our 50% share of BetMGM operating losses was $82 million, which represents our highest expected loss of the year, as the first quarter is a heavy acquisition period with Super Bowl and March Madness plus launches in 2 states. 
 At the cohort level, the data is showing robust player economics and a successful bonus optimization strategy. Same-store NGR from online sports increased 100% in the first quarter and BetMGM remains on course to profitability later in 2023. 
 Before turning it back to Bill, I'll conclude, as usual, with a few observations on our free cash flow and our financial algorithm more generally. We're in an enviable position financially. Our collection of superior properties in Las Vegas, together with the stable operating performance of our regional portfolio, generates ample free cash flow from our domestic operations. BetMGM is fully capitalized now, growing rapidly and turning toward profitability later this year. Our Macau Enterprise is already operating at near pre-pandemic levels. Our balance sheet is strong and highly liquid. At the end of the quarter, excluding China, we had approximately $4.5 billion of cash, as shown in the presentation, and more cash than debt, creating a net cash position of $1.3 billion. All of this allows us to invest for growth, delever and repurchase shares, steadily reducing our share count. 
 In the first quarter, we completed the sale of the Gold Strike Tunica for $450 million in gross proceeds. We received $170 million in the early prepayment of the note receivable that was secured by excess land from our Circus Circus transaction. We repaid $1.25 billion for our 6% notes. In April, we paid $138 million to a minority investor in National Harbor as a result of the sale of their economic interest, and we agreed to purchase real estate between the Bellagio and the Cosmopolitan of Las Vegas to enable connectivity among these properties going forward. And this morning, we announced the acquisition of Push Gaming, augmenting our international digital strategy. The Japan and New York development opportunities lie before us, and we expect them to offer attractive free cash flow yields for our shareholders. 
 This year, through today, we've repurchased 16 million shares for $654 million, excluding excise tax, and that represents 4% of our share count. And we'll continue to repurchase shares, capturing the free cash flow yield on our shares, reducing our share count and growing free cash flow per share. 
 Bill, back to you. 
William Hornbuckle: Thanks, Jonathan. A couple of comments, and then we'll open it up for questions. I got to say, I'm extremely proud of the entire team. It's arguably one of our best quarters ever. If you think about the overall performance, Las Vegas, Macau, the major development news we had in Japan, our pursuit of New York, things are going exceptionally well there. Jonathan just mentioned, and obviously, it's our intent that MGM is an inflection point. And then we continue to push through LeoVegas in growing our digital business on an international scale. 
 We are obviously now almost a year into our acquisition of Cosmopolitan. And so we couldn't be happier with the position in the leading resorts we have here in Las Vegas. We have 4 of the country's top 8 regional casinos in terms of performance, which fortifies the effort that we have here not only those markets but sending people back to Las Vegas. And we have a fortified balance sheet that still continues to allow us to buy back the shares when we think appropriate and invest in our company's future. 
 With that, operator, we'll open it up to any questions. 
Operator: [Operator Instructions] And the first question will be from Joe Greff from JPMorgan. 
Joseph Greff: Hope you're well. Jonathan, your comments in Las Vegas in terms of looking ahead and talking about your bookings pace and how it's up year-over-year every month now through November, a very interesting comment. Can you talk about how even that is or how even performance in Las Vegas between the higher end and the lower end between midweek and weekend? Then I have a follow-up. 
Jonathan Halkyard: Sure. I'll make a couple of comments, Joe, and then I'll certainly invite Corey to add his perspective as well. The strength in Las Vegas really has been driven mostly, not entirely, but mostly by weekend rates. That's where the real pricing power has been. It's been certainly supported by the event schedule Bill referenced in his remarks. But we're still seeing -- during the quarter, we saw growth in the midweek room rates as well. But just the real strength has been from the weekends. 
 And then going forward, any differences in terms of the pacing on the books is typically driven by the group customers that are on the books. The groups are a bit lighter during the summer months than they are, say, deeper into the fall. But I would say on balance that it's a pretty even outlook we have in terms of the way the pace is building. 
Corey Sanders: I would agree. 
Joseph Greff: Great. And then obviously, a significant recovery in Macau and [ best case ] been a long time coming. Obviously, we got good market-wide news this morning on market-wide performance in April. Can you talk about what you've seen thus far in April? And maybe, to us, what we see from an industry-wide market performance is, I guess, more grind or base mass recovery. Can you talk about what you're seeing in terms of the recovery thus far in the second quarter? 
William Hornbuckle: Joe, we've got Hubert on the phone. I'm going to turn it over to him. Before I do though, I just want to recognize that team, thank Hubert, Kenny and Panzy of note. Their leadership has gotten us to a great place. April has been amazing. Maybe Hubert, you can speak a moment on Golden Week, how it's kicked off. But over to you, Hubert. 
Zhi Qi Wang: All right. Thanks. I think that we look at the daily visitation to Macau, it has been steady on the rise month-after-month since January after travel restriction was lifted. In March, daily visitor counts averaged about 50% in the first quarter and April is already at 75% of 2019 level. So if you walk around the streets, you can already see the pre-COVID hustle and bustle in the atmosphere, has reemerged in Macau into the resort and the streets. 
 So we have seen similar pattern in terms of recovery, in terms of the daily GGR recovery, particularly in March and April and leading towards the Golden Week. We think that the market will continue to recover as more and more gaming customers and leisure travelers make their first post-pandemic trip to Macau. 
 Another source of recovery is the concerted efforts by concessionaires to attract overseas players. Now obviously, I think that MGM has led the market in a recovery pace. For example, our daily mass GGR has already exceeded 2019 level, as Bill noted. The trend continues to be into April at the elevated level. We're already -- in terms of mass, we're already 115% of 2019 mass level. 
Joseph Greff: Do you think you maintained the market share gains from the 1Q thus far in April? And one final one on that... 
Zhi Qi Wang: Yes. I think the market number was released yesterday, and we have seen the share being stable. 
William Hornbuckle: Joe, reflecting on my comments earlier, look, it's not lost on us. This is probably 10,000 rooms, give or take, left to open in Macau. And so arguably, that will have an impact. But I think the team's ability to drive high-end mass and into some VIP has been demonstrated. We're well over 90%, both in GGR and EBITDA in April. And the first couple of days of Golden Week, you've seen just under 0.25 million people hit the market. And we're getting more than our fair share of that. But we do recognize there's 10,000 rooms to go. 
Joseph Greff: Great. And then just one quick one here. I know I'm sort of going above my follow-up allotment of one question. If we adjust for normal VIP hold in Macau, what was that property level EBITDA performance? 
William Hornbuckle: Hubert? 
Zhi Qi Wang: I think it was $169 million EBITDA. 
Joseph Greff: It's $169 million with VIP hold, if we adjust that for normal VIP table hold property then? 
Zhi Qi Wang: Yes. 
William Hornbuckle: It's $14 million, Joe, is the answer. 
Operator: And the next question will be from Shaun Kelley from Bank of America. 
Shaun Kelley: Congrats on the results and specifically the news out of Japan. So if I may, I just wanted to start with the Japan project. Bill, like, obviously, you've been working on this milestone for a long time. Can you help us think about key remaining milestones? And very specifically, when should investors start to prepare for capital commitments needing to go into the ground and maybe a little discussion about broad level plans around project financing for it? 
William Hornbuckle: Sure. I'll leave the last part to Jonathan, but let me kick it off. So obviously, the area development plan and the certification by the national government was the big outstanding item to get across the finish line, and that's just been accomplished. We have a land lease and we have various agreements with the municipality that we have to get done, presuming this next quarter those will get done. 
 That being said, we're looking to break ground either late this year or first part of next year. And it's between $4.5 million and $5 million -- not $5 million. I wish it was $5 million -- a 5-year build. It is probably going to open first quarter-ish, second quarter of 2030, so we've got some time to go. There's obviously a lot of work to be done. It's a manmade island in terms of borings. And so that's the general timing around it. On financing, Jonathan? 
Jonathan Halkyard: Yes. We and our partners, Orix, will be putting together a bank financing for the project. That financing, that work has already been underway actually for some period of time. Our equity investments will begin in earnest in late 2024 and into 2025, really through 2027, at which point that we'll be tapping into this financing for the completion of the project. 
Shaun Kelley: Great. And then my follow-up, just to switch gears, would be in online. You gave some great color about some of the KPIs and how the GGR/NGR side is going. Could you just talk a little bit about the operating loss cadence as we move throughout the year? And can you reiterate the sort of joint contribution of around $150 million commitment for the full year? Is that still in play? Or does that need to be tweaked a little bit as we sit here today? 
William Hornbuckle: No, Shaun, I'm hoping not. Look, if you think about last year, I think about this year, obviously, football and investment into it with Super Bowl, March Madness, we opened 2 states. Actually, we came in a little under our own plan. And so we don't think we're going to have to put any more cash in of substance. We have one more [ caps ] call recently, and I think we're hopefully done. And so we look forward to the back half of this year, beginning to show some EBITDA. So nothing has changed, I think, to answer your question. 
Jonathan Halkyard: And I would just add under our plan, you mean under the investment that we anticipated, putting into the venture. And in terms of the pace, we do expect as we go through the year that we're going to be turning towards EBITDA profitability, and that we'll reach that during the second half of the year. 
Operator: The next question is from David Katz from Jefferies. 
David Katz: I wanted to just drill a little deeper on BetMGM, which obviously is going better than as planned, going very well. When we look at the partnership and think about the MGM database and its benefits to the BetMGM JV, in conjunction with those customers that are coming in through BetMGM right, both of which have added to the productivity here. I suppose the question we ponder with a lot of investors is, the bigger that gets, how does that arrangement work and sort itself out, et cetera? And I'm not asking when are you going to go back and make another offer. I'm really just trying to get a layer down. 
William Hornbuckle: Look, David, we're very excited about what's been created, obviously, to think after this amount of time, we could have a $2 billion top line business this year, which is showing all signs of profitability, is exciting for us. We have tens of thousands of customers that are driving, on an omnichannel basis, over $100 million a year back and forth. And so that part of the business is starting to click in and starting to work. 
 We have work to do on product. We need single wallet, single account to be really effective in places like Maryland, places like New Jersey, Pennsylvania and New York. So we've got some work to do on the sports product. Obviously, we're market-leading in gaming at 28% share. And so no one even comes close to that, but we're mindful that people are trying. So we're very focused on it. So I'm not going to have a precursor where we go with all of this. I think we're in great shape. We've got another couple of years to mature this business and see where it ends up. And then we'll take it from there. 
David Katz: Fair enough. If I can just follow on with a question about Macau and how we that or we might theorize how that revenue mix turns out, with one of the questions being how much direct VIP returns and, ultimately, what that mix and what that margin settles in at as we progress through this year? Any help there would be appreciated. 
William Hornbuckle: Yes. Hubert, why don't you handle the first part of that, and I'll try to do cleanup. 
Zhi Qi Wang: All right. So David, I think that the VIP component of total GI is probably around 15% of the total number. And in terms of margin, I think that we'll see a little bit higher margin on the direct premium business, probably around 13% to 15%, in that neighborhood. So Bill, anything to add? 
William Hornbuckle: Now David, look, obviously, we're leaning into mass. I think the way to look at the totality of the business, obviously, the junket operators were not cheap to do business with. I mean, they took a lot of the margin out of the business. The fact that now we're on our own doing this, there's a formula that suggests somewhere under 100% of former GGR levels, we could drive over 100% EBITDA. It's arguable when that's going to land 85% or 90% of total top line, but we do believe that. We think the business will settle in, in the mid-20s in terms of the margin business overall. 
 We do have a -- not unique, but we do have a special opportunity only because we've been at it 30 to 40 years in terms of driving and knowing customers and where they live in Malaysia and the rest of Asia. We just had a very significant group coming from Thailand that was driven by our branch office there. And so we think it's a net advantage. And we think ultimately, our margins would be better once they were given the nature of the junket business. 
David Katz: Okay. Fair enough. Nice quarter. 
Operator: And our next question is from Stephen Grambling from Morgan Stanley. 
Stephen Grambling: Sticking with the digital side, you referenced some of the aspirations to continue to expand worldwide. What are the criteria priorities that you're focused on or what deal breakers are there any potential partnership or transaction as we think global? And do you generally expect them to be more bolt-on deals? Or could you even contemplate something more transformational? 
William Hornbuckle: Well, for now, we've been looking to try to build a fundamentally strong business. So with LeoVegas, we saw a team we liked a lot. And frankly, the good news is 9 months later, we still do. We saw technology that lived in the cloud versus dot-net or something else of that nature, so a business that could grow and ultimately scale easily. We had 3 other pillars. We wanted to get into the content business, and it's interesting, with Push, they have several of the leading games in the world, in the context of things that they've created. So we're excited by that and ultimately, potentially transforming that and those games from digital to brick-and-mortar and vice versa. We think there's a long-term play there.
 We're interested in live dealer. There's nothing that suggests, given the nature of our business, that we should not be in that business. And so I think through LeoVegas, there's an opportunity to do that. LeoVegas, currently does live dealing now to a third-party, but I think it's a place we'd like to get to and ultimately, have our own sports betting technology as well for rest of world, take BetMGM aside from that discussion. 
 Look, we've looked at everything. I will continue to do so. There are some things that would be substantive out there. But it's too early to tell. I'm trying to build the business with the team there. Gary Fritz has been a big part of this. Obviously, he's the front, and with Gustaf and the team at LeoVegas, -- and so we're excited about where we are. We've got a ways to go. And it's one of these things, hopefully, 2 or 3 years from upon reflection, when we look back, we've built something meaningfully. 
Stephen Grambling: Makes sense. And maybe as a follow-up on the digital side in the U.S. In thinking through the march to positive EBITDA and beyond, we saw [ Sandro ], I think had profitability about a year ago and then ramped it a bit lumpy thereafter given the seasonality and mix of sports. Given your skew towards iGaming, how might the magnitude of that flip deposit EBITDA and then consistency, compare and contrast to maybe some of the peers? 
William Hornbuckle: I think you make a good point. Look, the second quarter last year for us showed a little bit of profit. If you may recall, the third quarter like everyone, we bounced into or bumped up to football, which is always a big promotional push at the beginning of football. I don't suspect that will change much. Obviously, there are a few players. We've all become a lot more disciplined. But I think it will be a little lumpy, but I think the bottom line will be going in. The second half of the year, we're going to show profitability in totality. And obviously, iGaming for us is a key thing, recognizing it's in 5 states, 6 states, of which 3 are meaningful for us. 
Operator: The next question will be from Brandt Montour from Barclays. 
Brandt Montour: I just wanted to follow up on Joe's first question about Las Vegas room rates and understanding that the weekend is driving most of it. But I was also curious if you're seeing any difference in pricing elasticity between the higher-end properties and the lower-end properties recently? 
Jonathan Halkyard: The growth for us has really been in the higher-end properties. I mean we think all our properties are higher end. But certainly, the luxury properties have seen more of the growth. Price elasticity, it's a tough concept to apply here since the properties like the Bellagio, Cosmopolitan, Aria have different customer segments in some ways from the ones say at Mandalay Bay or Luxor, Excalibur. And so we're attempting to drive price wherever we can at each of these properties. But I would say, in the general matter, the weekends are where we have greater pricing power and in the luxury properties. 
Brandt Montour: Okay. That's really helpful. And then one follow-up on Las Vegas. If you, Jonathan, might care to comment on the seasonality for Las Vegas this year, if you think it would be different than pre-COVID years? Anything you'd call out there? 
Jonathan Halkyard: I wouldn't say there's any difference in seasonality. If anything, just the strength of the event calendar and just the increased sophistication with which we're marketing to all of our segments, if anything, might reduce the seasonality that we face. We've already, on previous calls, called out the differences in 2023 against last year, with the first quarter and the fourth quarter, for different reasons, probably being a bit stronger year-over-year. But that's really not seasonality as much as just some idiosyncratic issues during this year and last. 
William Hornbuckle: In the fourth quarter, we'll see obviously Formula 1 for the foreseeable future. Time will tell how meaningful it ultimately is. There's estimates that will bring $1 billion to the Valley, which obviously we'll take more than our fair share of, hopefully. And then if you go back to '19, the Raiders had just gotten going, that games didn't start until 2020 in the middle of COVID. So that programming is consistent and extremely strong. So in the fourth quarter ought to look better than the average pre-'19. But time will tell, ultimately, where Formula 1, what it brings us. 
Operator: The next question is from Dan Politzer from Wells Fargo. 
Daniel Politzer: First, on Macau, how would you say that the margin should trend over time? I think last time you guys talked about high-20s as an exit rate for this year, but it seems like we're tracking above that. I know there was some benefit of hold in the quarter, but would you say you're fully ramped in terms of where you need to be and there should be a lot of leverage as we go forward? Or is there additional head count that you'd look to add? 
William Hornbuckle: Hubert, why don't you take it? 
Zhi Qi Wang: Yes. I think our growth remains the same. Our margin should be in the high-20s. There are a few things in favor of that, the further recovery of the mass driven market and also the continuous deployment of our incremental tables [ on the assumption ] of mass floor. So this will help to generate high-margin mass business. Some of the labor savings from COVID period will be permanent, particularly at management level. And we are also looking at some innovative games to further attract mass play. So these are the things that will be helpful. 
 But on the flip side, I think that we do know that the gaming tax increased 1% under the new concession contract. And I think some of the labor savings will be rectified through recruitment for understaffed situation. So in the second half of this year, I think that the labor costs will increase because we have to fill some vacancies to address service issues. But overall, I do believe that we will be able to maintain our margin in the high-20s. 
Daniel Politzer: Got it. And then just turning to New York. I think you mentioned about $2 billion of CapEx there. I know timing is kind of kind of a moving target here. But as you think about the cash that would come out and maybe the options to finance this through VICI, is there any flexibility there where you might be able to pull forward type of sale leaseback? Or is it you have to build it and then go forward to get an agreement in place? 
Jonathan Halkyard: Yes. I think there is some flexibility. Not to speak for VICI, of course, but they are fantastic partners of ours. And as we plan for that project and think about the ways in which we will finance it and the best way to allocate our capital, doing a sale leaseback with VICI at some point certainly could make a lot of sense for us, and that's part of our planning. 
Operator: The next question is from Chad Beynon from Macquarie. 
Chad Beynon: On Slide 7 and 8 in the deck, you pointed out really strong slot handle and table drop, it looks like, in the regional market and in Vegas. Is there anything to talk about just in terms of additional detail within the segment's strength at the high end? Has that kind of continued as we've expected for the past couple of quarters? Any weakening at the low end or anything else to call out to kind of help frame out where the consumer is within your database? 
Corey Sanders: Yes. Chad, it's Corey here. Yes, we're seeing some really strong strength in our database, especially in our Gold Plus customers. Those are ones that may not be hosted but are around 400 plus, and those numbers are pretty significantly. We see not only their trips continuing to increase, but also their play continue to increase. And in most areas of our database, we're seeing increases in both trips and in spend. The one area where we may be seeing a little bit less is the younger customer. They're probably a little bit more impacted than anything we've seen, but nothing materially. 
William Hornbuckle: And then, Chad, maybe one final point, I'll be interested to see how this manifests itself over the next 3 to 6 months. With China reopening up, the one segment we still miss is the high-end Asian/Chinese gamer. And so time will tell. We've gotten about 80% of our visitation back from international play. But those players made up like 50% of the play, and particularly when you think about something like baccarat. And so I see it as an opportunity. I don't know how it manifests itself yet given policy, given capital restraints. but we do see it as something we're going to focus on trying to drive. 
Jonathan Halkyard: Final thing I'd add, Chad, around segmentation is we've now seen it, for a sufficient number of quarters, to say that it's a nice trend, which is just the return of our 65-plus players here in Las Vegas but, more importantly in the regions, their trips just steadily increasing each quarter for the last 3 or 4 quarters, age 65 plus. 
Chad Beynon: Okay. And then given the conclusion of the U.K. white paper, a market that you'll be in soon, it seems like a win for both the operators and responsible gaming, in general. Does anything change positively or negatively in terms of timing or just your expectations, your excitement, about that market and other global markets as you look to grow this digitally? 
William Hornbuckle: Yes, Chad. Look, we're excited that it's finally out. I don't think there was any harm in it. A matter of fact, to the contrary, I think it was a good piece in that legislation yet, but a good piece of overview. It's set up standards, obviously, for protecting folks. At the same time, it enabled and let VIP continue. And so there are some promotional opportunities. At one point, if you remember, there was a consideration that you would have to stop all of that activity. For us, I think with LeoVegas, potentially, the opportunity presents itself. We're now excited to go look at that market as a real market to push into and push on. And so I think bottom line, it was done responsibly. It was modified, I think, to a point of it does what it needs to accomplish, but still enables our businesses and others like it to continue to go forward progressively. 
Operator: And the next question is from Robin Farley from UBS. 
Robin Farley: Just wanted to ask about Japan, you laid out a time line, which was really helpful. I'm just wondering at what point does it become where you're committed in terms of the capital investment there? I know you mentioned potentially breaking ground later this year, but I assume somewhere in-between now and then, it becomes sort of where it's a full commitment. I'm just wondering in that time frame. 
William Hornbuckle: Yes, Robin. Look, I think at this point, we're fairly committed. The idea of going in reverse would be something hard to contemplate. We have to sign the land lease. And I think given the nature of that lease and given the other documents we have to sign with the government of the City of Osaka, they're definitive in nature, and therefore, we're paying out cash. And so within the next 3 months, it's just hard as it's ever going to get. And so we're going to go forward with some excitement from that. 
Robin Farley: Okay. Great. And just for my follow-up, I had a question on Vegas, in your slide, you break out the same-store Vegas casino revenue down, and I think it's the third consecutive quarter and I'm just wondering if this is -- and obviously, haven't hurt your profitability, of course, this year as the room revenue comes back so strongly. But I'm curious, when you look at that trend with the same-store gaming revenue, is this just kind of, do you think, like a resetting of -- there was a sort of COVID-driven strength and then it kind of resets and will grow again from there? So in other words, maybe there's another quarter where that declines and then we've kind of anniversaried that COVID bump and then it goes back to growth. So just how should we think about that? 
Jonathan Halkyard: The way to think about that is that the gross gaming revenue, we have net against that for rated players, these customer complementaries that we provide to them. And those are generally priced at retail. The largest portion of that are rooms, but there's certainly food and beverage as well. And the price of those as increased dramatically. Our ADR year-over-year grew 31%. So the cost, which has been assessed to that, and therefore reflected in the casino revenues, goes up. And so the demand for gaming in our business has never been higher across segments, but the cost of the rooms that we provide to these guests to earn those complementaries has gone up. 
 So the profit associated with it, the revenue and profit at the margin, is being monetized in our hotel and food and beverage operations and not as much in gaming. So the trick of it is, at the margin, is that we're making the right decisions about which customers and segments to have on property weekday and weekend to maximize profitability for the company. But I would not interpret that as any reduction of demand on the gaming side. 
Operator: And the next question is from John DeCree from CBRE. 
John DeCree: Maybe one, particularly in the regional U.S. markets on the nongaming spend that has been coming back really strong the last couple of quarters, obviously, a longer tail to the recovery. But curious if you could give us some insights into the consumer and that nongaming spend. How much is driven by price? Jonathan, I think you mentioned in your last response that the cost of, obviously, F&B and those types of things has gone up. But is it new customers coming back that you haven't seen in a while? Or are customers just opting to spend more on F&B? Is it timing with the opening of additional restaurants or additional hours in regional markets? How would you characterize the recovery in the nongaming spend? That's been so strong. 
Corey Sanders: Yes, John, this is Corey. I think last year in the first quarter, especially in our bigger boxes in the regionals, we were constrained on hotel rooms. And this quarter, we had full accessibility, both in Borgata and, as Bill mentioned, the brand-new Beau Rivage room. So we're seeing huge demand in the Beau Rivage rooms from current customers and new customers, but it's also driving a significant amount of hotel revenue and food and beverage revenue that would not have been there last year. 
John DeCree: Got it. Maybe revisiting a question from earlier or a comment about the Chinese or Asian gaming play potentially coming back to Las Vegas. Corey, I don't know if you're the best person, if you could kind of remind us how big was that business, I guess, pre-COVID? And then maybe in the context of Cosmo, if they had a good-size Asian gaming business as well, which is now a part of your portfolio that wasn't previously? Just to get a sense of how much more opportunity there could be if that customer does come back? 
Corey Sanders: Yes, John. So if we looked at Q1 of '19, that customer would have made up about 45% of our rated win at that time. They are currently about 25% -- 20% of that. So if that comes back, from that perspective, it's pretty meaningful. From a Cosmopolitan, they are pretty big in the international business and, in particular, the Far East and Korea are very strong markets for them. Their size is about 1/10 of what we do. 
William Hornbuckle: And John, if you think about baccarat back in '19, it's like $450 million top line. 
Operator: And the next question will be from Barry Jonas from Truist Securities. 
Barry Jonas: Yes, I was hoping I could get more color on the non-same-store components of Vegas. How is the Cosmo integration or ramp going relative to your expectations? And then for Mirage, to what extent have you been able to redirect revenues to your remaining properties? 
Corey Sanders: Yes. This is Corey. The Cosmopolitan operation is going extremely well. We're very happy with the results we're seeing there. The business is continuing to be strong. We are in the process now of finding when we will be converting them over to MGM Rewards. We will make sure, from a customer perspective and employee perspective, it will be a smooth transition. So more to come on that in upcoming quarters. 
 The Mirage is interesting. When we put up for sale, we started seeing customers starting to convert in income over to our other properties. So in general, obviously, there are pure Mirage customers that have stayed pure Mirage customers. But in general, we're happy with what we've been able to obtain in our business. 
Jonathan Halkyard: And as I kind of rewind the tape and look at the capital that we applied to the Cosmopolitan versus that which we freed up from the sale of the Mirage and the incremental EBITDAR, and more importantly, EBITDA, after rent associated with that, this has just been a fantastic set of transactions for MGM and the shareholders. 
Barry Jonas: That sounds great. And then just as a follow-up, can we get an update on your project in Dubai? I'm just curious if you think gaming will come at some point to Dubai or any of the other Emirates for that matter, beyond what's been announced by Wynn? 
William Hornbuckle: Yes, I'll take that one. Barry. As it relates to Dubai, we are still doing pylons. That property continues to evolve. We were the managers, but the owners yet again, want to upgrade the property, I think, with gaming in mind. But it's up to Abu Dhabi and the national government to ultimately decide. We have had people on the ground there basically nonstop since the first of the year, trying to understand the opportunity in Abu Dhabi and then ultimately, if it will open up. Well, if passed and when passed, it will open up to the other Emirates. Whether the rulers of each Emirate then take it upon themselves to approve it is, a, up to them. Obviously, we're focused on Dubai, given the niche of our projects. We think it would be ideal. There happens to be 150,000 to 200,000 square feet of space that could be converted into such a thing. 
 But time to tell there, and we're not saying no to Abu Dhabi either. We find both those markets, given the location of the airport right in-between both of them, as compelling. We're hoping "any day." But I got to believe as the summer fulfills itself, we'll hear more news on that. 
Operator: And our final question today will come from Steve Wieczynski from Stifel. 
Steven Wieczynski: It's obviously very late in the call. Most of my questions have been answered, but I'll just ask one. And this question might be way out there in left field, but I'm going to ask it anyway. So if we think about the impact that the Raiders, the Knights, have had on visitation to the city, you're now going to get the A's at some point probably in the near future. And we're talking about, let's call it, 81 home games or so and typically at slower visitation periods. It might be too early to know, but just wondering if you guys have thought about this at all and maybe what type of impact you might eventually see there? 
William Hornbuckle: We have. And obviously, given the location and the conversation of a pedestrian bridge from it to the park, which is obviously where T-Mobile sits, we think it could bring about 400,000 tourists a year to the Valley that wouldn't otherwise come. We think that's a reasonable number. That's a number that's been created by a bunch of folks looking at it. And so we think that part is accretive. 
 We're not a fan of any more tax dollars put into this. We yield the governor's position and assume that this will be done responsibly for the state and ultimately for Clark County. All that said, I, like you, believe it will happen and it will be accretive by the overall visitation. 
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Bill Hornbuckle for any closing remarks. 
William Hornbuckle: Thank you, operator. I'll be quick. I know it's late. Again, I want to thank everyone for joining us. Just on my earlier comments, we couldn't be happier about the quarter and the progress that we've made on so many fronts. And again, I want to thank all of our employees, particularly this particular quarter, our Macau team for successfully launching. 
 I'm going to be participating with Jonathan in JPMorgan's forum in Toronto next month, and I'll be doing a couple of meetings with Deutsche Bank in New York as well. 
 I thank everyone for their time, and hope you all have a great evening. Hopefully, look forward to speaking to you guys in a couple of months. Thank you. 
Operator: And thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.